Operator: Good day, ladies and gentlemen and welcome to the Q2 2017 Ameresco Inc., Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would like to introduce your host for today's conference, Gary Dvorchak. You may begin.
Gary Dvorchak: Thank you, Glenda, and good morning, everyone. We appreciate you joining us for Ameresco's second quarter 2017 earnings conference call. On today’s call are George Sakellaris, Ameresco's Chairman, President, and Chief Executive Officer; and John Granara, the company's Chief Financial Officer. George and John will review the operating and financial highlights of the quarter then we will take questions. Starting with this call we have a deck with supplemental financial information, you can download the slides from the Investor Relations section of our website. Before I turn the call over to George, I would like to make a brief statement regarding forward-looking remarks. The call contains forward looking information regarding future events and the future financial performance of the company. We caution you that such statements are just predictions actual results may differ materially as a result of risks and uncertainties that pertain in our business. We refer you to the company's press release issued this morning and our SEC filings. These documents discuss important factors that could cause actual results to differ materially from those contained in the company's projections are forward-looking statements. We assume no obligation to revise any forward-looking statements made on today's call. In addition, we will be referring to non-GAAP financial measures during the call. These non-GAAP financial measures are not prepared in accordance with generally accepted accounting principles. A GAAP to non-GAAP reconciliation as well as an explanation behind the use of non-GAAP financial measures is available in our press release, any prepared remarks and in the Appendix of the slides. I will now turn the call over to George Sakellaris. George?
George Sakellaris: Thank you, Gary, and good morning, everyone. We had a great quarter, operating income was up 86%, net income more than doubled, and adjusted EBITDA increased 17%. The solid results keeps us on track to achieve double-digit profit growth this year. John will offer more color on the financial results shortly. We believe that our visibility continues to be under appreciated. We would like to emphasize a significance of this key element of our business module. Backlog in our core project business grew 6%, contracted backlog was up 45% and remains well over $0.5 billion, our highest level since 2010. Furthermore, the backlog visibility is far better because awarded is now double the size at over $1 billion. This means we have great visibility for two to four years of revenue if we maintain our historical conversion rates. The visibility in Ameresco’s model was beyond project backlog, however, we have over $800 million of future operational maintenance revenue that is under long-term contract. Also, 175 megawatts of energy producing assets that are selling under long-term purchase power agreements, and we have another 95 megawatts in development. Furthermore, repeat project business is more important to us with each passing quarter. We see existing customers choosing Ameresco again and again for new efficiency projects. A great example of this is our work with GSA National Deep Energy Retrofit program. Our federal group has now been selected for its 5th award in this program. GSA recently selected Ameresco to retrofit various federal buildings in the so-called Region 4, which encompasses Georgia, South Carolina, and Tennessee. We are currently in the design phase of this new project. Another example of repeat federal business is the Bureau of Prisons Award in Illinois. The deal follows on similar work we won at Butner, North Carolina. The Illinois project is a $19 million contract that includes lighting, [indiscernible], solar power and controls. A comprehensive project of this sort reflects the trend towards larger and more complex value added projects, which leverages our expertise. In Arizona, our work on smart LED street lighting replacement in Phoenix and Tuscan is leading to follow-on business in surrounding cities. For instance, we have city council approval for an award and a contract in two cities near Phoenix that is $8 million worth of business, and we expect to win similar awards all across the nation. Speaking of street lighting, this past quarter, we entered into contract for the Chicago street lighting project that we announced last quarter. As we have seen in Arizona, we expect this to lead to similar repeat business in Illinois. We recently won a project to retrofit the City of Chicago’s McCormick Place Convention Centre, a $38 million award. We also received $10 million of additional work for the Chicago Housing Authority. Further, we anticipate that the budget passed recently by the Illinois legislature should unfreeze up to $10 million of additional state work that we received over the past two years. That work was already contracted, but had paused during the state’s budget impasse. The Chicago street light project is good bellwether in a developing trend towards so-called smart cities. Smart city projects play to our strength, all integrated multiple complex technologies that result in more efficient utilization of resources including energy, water, and others. Smart cities can expand the potential scope of our projects by incorporating smart LED lighting, controls, communication infrastructure, network sensors, analytics, and operational maintenance. We are now preparing RFP responses for some 9 figure smart city projects that incorporate these types of technologies. Smart city projects reflect all the trends we see that benefit our business size, complexity, multiple resources, and potential repeat business. Identifying opportunities such as this drives our visibility. Smart cities is one new market that can drive our future growth, but it's by no means the only one. College campuses are another area of robust activity; you saw our work at Roxbury Community College earlier this year. This quarter, we signed a similar project at a community college in Pennsylvania valued at close to $8 million. Our Southwest team has done an excellent job developing business within the Texas A&M University System. We recently enter into our first contract with Texas A&M Corpus Christi and currently are working with two other universities within the system. The Texas A&M System has 11 distinct universities throughout the state. The success by our Southwest team reinforces one of the long-term growth strategies we discuss regularly that of additional geographic expanse -- penetration. We continue to identify more business in Texas beyond the Texas A&M System, and we have won a number of School District awards in California. This activity shows that we are now more effectively addressing these large Southwest States. We are also executing on these growth strategies in other geographies. Most recently in the UK, we recently went into contract on $4 million of retrofit work for four universities in Scotland. That work was awarded under one of our recently awarded frameworks. Our UK project business has historically focused on the commercial and industrial space, so this win is a milestone for us as we bring our expertise to the public sector in the UK. This win came under one of the several efficiency frameworks in the UK and Ireland under which we are qualified. This framework, similar to IDIQs in the U.S. and can lead to bids, awards and contracts. We're optimistic about Ameresco’s prospects in the UK and see the potential for good growth there overtime. Before I turn the call over to John, I want to briefly address our energy assets that business combines great visibility due to associated long-term contracts with high margins and expanding market opportunity. We continue to add to these assets including those utilizing in solar, landfill gas, and biogas. We often highlight solar, but we have been well established in renewable gas for years. Landfill and biogas are an excellent source of green fuel for power, and still represent the majority of our energy revenue. The outlook for our gas business is quite good. For example, we are now building two renewable gas assets that should make a substantial contribution to EBITDA when completed. We will discuss those later, but we wanted to make sure you are aware of our substantial activity in this area. With that now, I'll turn the call over to John for comments on our financial performance. John?
John Granara: Thank you, George, and good morning, everyone. Our press release and supplemental slides contain all the figures and comparisons you need. So I am not going to repeat all the numbers. Instead, we are going to focus on the analysis of the factors that influenced the results. Keep in mind that we are referring to Q2 figures unless I say otherwise, and all comparisons are year-over-year. The growth and revenue was driven by favourable timing in federal projects several of which are progressing ahead of schedule. O&M grew mid-single-digits in normal rate. Looking at energy sales, renewable gas was down slightly due to some planned maintenance. Solar electric sales were up meaningfully and we recognized quite a bit more rack revenue. Gross margin was 21.2% primarily as a result of a higher proportion of our recurring revenue streams, which each have a higher gross margin. Rack revenue was notable in its contribution to gross profit because racks are 100% gross margin. However we expect gross margins to return to a more normal level in the second half as we typically have more project revenue. We controlled operating expenses with the growth well below the growth in gross profit; keep in mind that operating expenses last year included a restructuring charge. Excluding that the change in operating expense, which driven mostly by higher project development cost this is by design. We have discussed in the past how we are investing more in the front end of the project development in order to drive pipeline growth, And we are pleased with results so far as George noted in this opening. Investing in growth while expanding operating margin demonstrates the strength of our business model. The revenue growth and better margins flow to the bottom-line with net income and EPS up substantially. Adjusted EBITDA the measure we pay attention to internally likewise advanced meaningfully. I do need to call out that our tax rate was lower than usual due to a onetime discreet item. We still expect our annual tax rate to approximate 27%. Turning to the balance sheet, our financial position is strong; cash was stable even as we continue to invest in energy assets. Receivables were up but that increase was offset by a similar increase in payables. We paid down the term loan and revolver while adding project debt, which approximated the increase in energy producing assets. We increased our financial capacity by expanding the availability under our revolver to $75 million up from $60 million. We had a good quarter in terms of cash generation producing $19.3 million of adjusted cash from operations. We did not do much in terms of the share repurchase during this quarter. Focusing in energy assets, the portfolio continues to grow. We placed 2 megawatts of solar into service during the quarter. At quarter end we had 22 megawatts that were mechanically complete, but not yet interconnect due to utility delays. However, we all happy to report that we have now connected 10 megawatts of the 22 megawatt that were delayed and we expect the majority of the remaining 12 megawatts to be connected in Q3. Also as George mentioned the construction pipeline includes two large renewable gas assets that we expect to contribute materially to our profitability next year. The key take away is that the current revenue and profit contribution from our energy assets do not reflect the earnings power of the entire portfolio. Backlog was at new highs this quarter further improving our visibility. Contracted backlog hit the highest level since 2010, up 45% year-over-year. The increase was primarily due to the conversion of the City of Chicago Streetlight project, which naturally reduced awarded to backlog. Keep in mind that contracted backlog is expected to be recognized over a longer period than in the past due to the large size of projects moving into it such as Chicago. We consider this to be a positive as it further enhances our visibility. Even with the conversion of Chicago we maintained an avoided backlog at over $1 billion in outstanding level. We are happy with the bottom-line performance this quarter, but we want to caution you against extrapolating the upside just yet. We regularly emphasize that our results can be a bit lumpy quarter-to-quarter, which is why we only guide for the year. As is always the case we are dependent on some assets being placed into service, as well as converting a number of awards to contracts. We also expect gross margin to return to a more normal level in the second half as we discussed earlier. We are confident, but conservative and prefer to maintain a bit of caution until events unfold as we expect. Finally, I want to add a bit of color on how we expect the second half to progress. Our forecast now sees revenue and profit growing sequentially both in Q3 and Q4. With that we would like to open the line for your questions. I will turn the call back to our coordinator Glenda to run the Q&A session.
Operator: [Operator Instruction] And our first question comes from the line Craig Irwin from Roth Capital Partners. Your line is now open.
Craig Irwin: Good morning and congratulations on the strong results today. So first thing I wanted to ask about is the federal projects that have been moving better than anticipated this past quarter. Is it possible that this results in some early completions or did early completions already happen that allow you to possibly initiate or complete additional work in the second half that you had not originally anticipated?
John Granara: Craig, I would say that it is primarily a timing difference, so it’s not going to be incremental to the year just yet. Any incremental work would come in the conversion of awards, which you would see in our contracted backlog. So, I think most of the pull in was timing within the year, and so nothing incremental as of yet and most of the work were being done is within the contracted phase and still within the year.
Craig Irwin: Great, thank you for that. And that actually touches my next question, so contracted backlog up 25% sequentially, you called out Chicago there, but we are up 45% year-over-year, it's just really impressive growth over the last couple of quarters. Can you maybe share with us how the duration of that backlog is changing, this isn't five year backlog, is it? Is this something you would expect to burn over the course of the next two years or how should we be looking at this as far as a contribution to 2018 visibility?
George Sakellaris: Yes and John can add more color to it, but some of these larger projects, they have as much as three year construction schedule. The City of Chicago for example is a three year construction schedule. So the implementation phase, as the projects get larger you see them being extended to more than one year, two to three years.
John Granara: Yes, and I would just say looking ahead, Craig it's typically been 12 to 24 months, so we're seeing that stretch out to the 36 months, so we're getting the benefit of longer term visibility with the larger projects. They do come with the longer conversion time, we're seeing that these larger projects, the ones that are greater than $20 million are taking upwards of two years to convert. So looking at it from that perspective, 12 to 36 months in the contracted, we're going to convert what's been awarded on average in 18 to 24 months and then you're going to be recognizing revenue on that. So the key takeaway is that our visibility is quite strong right now when you look at our combined contracted backlog in terms of both not only the dollar amount, but in terms of the number of years that we can now see out. And so, I think in the prepared remarks we said two to four years, which from the visibility standpoint, it is the best that we've seen in recent memory.
George Sakellaris: Yes, the other thing I might add Craig that we're seeing too and you see that as the award begins to increase, it will be more lumpy, because the larger projects they tend to take longer time to develop. So our pipeline activity for example, it's very high right now, but as they convert to the awards it takes a bit longer than they did before.
Craig Irwin: Great, thank you for that. So changing subjects, Tuesday a week ago at the EPA hearings on the renewable fuel standards proposed volumes for 2018, I had an opportunity to sit in on the testimony of your federal representatives, your lobbyists that represents you in Washington, and in her prepared remarks she mentioned that you have 2 of the 24 or so landfill gas projects that are being developed in this country targeting cellulosic RINs, so that's something I believe that’s new, so I wanted to check and see if any of your existing fleet of landfill gas assets has been able to sort of restructure their obligations so that they can generate the cellulosic RINs. And how do you see the eligibility to generate these RINs impacting the two landfill gas plants that you have in construction right now?
George Sakellaris: We've been generating the RINs on our San Antonio plant for one of them for some time right now, and that contract has been for size, you may say very, very good, and actually we tried looking at this back in 2014-15 when we converted that plan and we wanted to get the experience before we expanded some of our other plants. So we have two that we have in construction right now. And that as we point it out, it will be completed by the end of the year or early next quarter, but they will meaningfully contribute to the EBITDA next year. The prices for those RINs that are qualifying, they're pretty good right now. And as you saw, we're trying to convince EPA not to change the amounts, but they're trying to reduce it that we would like to see it stay where it was before. Even though with the recommended reaction, we have not seen in the price reduction in the RIN value right now. In the long-term, it might affect it, that’s why we would like to see that requirement not to go down. I would say this much to you Craig, and we have several other sites by that way that we’re looking to convert or develop because some of the sites that we have, we have excess gas. So, we’ve several of them that we’ll be able to develop them, but again it will depend on economics. Right now, they are in development stage and we’ll see how many of them make it through the process. But we think it’s a great opportunity and that’s why I said, we feel that our gas assets give some intrinsic value that we hope we can develop in the future and we have the expertise in that market. And the other thing that can happen and that’s why you see us developing put more efforts in the development on the growing gas is that until about six months ago, maybe little bit longer we were not able to get to what I will call longer term contracts, longer than three to five years. But lately, we’ve been getting several calls in people that they would not only want to invest equity into the projects, but they’re willing to sign long-term contracts. So we’re consciously optimistic.
Craig Irwin: That’s really good to hear. So, George, another big picture question, so couple years ago you used to disclose pipeline, I know that I guess it was disclosed in annual proxy and then you’d discuss occasionally on your calls. And you stop disclosing at, I’m not faulting that because I know it’s a very tricky metric, but your conversion rate on projects both awarded and those not yet awarded has actually been very good over the last two years. Can you maybe share with us, how your total pipeline today compares to where you were a year ago and two years ago, are you seeing the total number of projects that Ameresco can address increased meaningfully. Or are we really seeing more of a closure of projects improved capture driving the contracted backlog?
George Sakellaris: Yes, I mean I think we did indicate it that’s why I said the colleges activity is pretty high the pipeline if we were to compare it to last year, it’s substantially higher than where it was before last year. I’ll say it’s probably over 20% higher in that neighborhood. But -- and as far as going from the awarded to contract, we still see the same ratio with all I said over 90% converts the projects that go into the awarded category they go to the contracted category eventually. And the other one as far as our success rate in the markets from the pipeline to the award, again we were well over 30% and we’ve maintained that percentage win rate for the last few several years right now. And if anything I think our traction in the marketplace is slightly better than what it has been in the past. Even though we see more competitors coming into the marketplace and what plays there to our strength is our broad and deep technical expertise and performance.
Craig Irwin: Thank you for that. And then last before I’ve hop back in the queue. I’ve not had a chance to review your 10-Q yet, but I wanted to see if there were any segments that were significant out performers or maybe under performers in the quarter that we need to discuss. I know for example in the first quarter you had development cost in the U.S. regions…
John Granara: Yes, so I would say from the first quarter the trend continued in the second quarter where if you are comparing the comparison, I mean, the segments year-over-year, U.S. regions which is primarily are state local and housing business segments, they are down still year-to-date, I think about 8%, 9%. However, those businesses predominantly made -- their resources of revenue are predominantly project revenues and we typically see the higher project revenues in the second half of the year. So, likewise looking at the federal group which has a good portion of operations and maintenance revenue as well, they’re still up substantially as well both on a quarter basis and year-over-year. And a lot of that is as we’re in the implementation phase. Just -- but before I leave the U.S. regions we are expecting the second half of the year to be stronger as we start implementing City of Chicago and in particular some of the awards that George had referenced earlier in the Southwest States will be ramping up as well, we’re expecting the Southwest group to have in particular a ramp up in Q4. So we think for the year things will even out, but if you look out where we are right now quarter-to-date and year-to-date the U.S. region is down year-over-year, which was the same trend we saw in Q1. And also to follow-up on your point the project development cost if you were to look at the composition of our operating expenses we’re up about $1.5 million year-over-year. And so that’s an indication that we’re actually spending money pursuing new opportunities that will convert to award the backlog. Because once a contract converts to an award, we then capitalize those expenses as deferred cost and they end up on our balance sheet. So what we’re seeing now is that we are continuing to pursue new opportunities and we’re investing in that pipeline growth that we talked about.
Craig Irwin: Great thanks again for that and congratulations on the really strong progress.
John Granara: Thanks, Craig.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Noah Kaye from Oppenheimer & Company. Your line is now open.
Noah Kaye : Thanks good morning George, John, appreciate the opportunity to ask some questions on another strong quarter. The slides that you’ve released the new slide deck, I think contains a very helpful incremental inside into the business and I’d just like to dig into one slide in particular where you show that 60% of adjusted EBITDA is now coming from recurring line of business, 45% from your renewable assets and 15% from O&M. If you’ve done this analysis, how we benchmark that profile that mix say against three years ago? And if you could kind of comment on a forward looking basis as you think about your portfolio of projects both on the energy side and your ESPC project how should we think about this mix trending over the next couple of years?
George Sakellaris: I think John has been doing all these analysis.
John Granara: I don’t have the specific numbers looking back but suffice to say the percentage of the earnings or EBITDA coming from recurring was lower than 50%. So we’ve seen that expand. It was probably closer in the 40% range a few years back. As you look ahead it is going to be the thing I…
Operator: Ladies and gentlemen please standby your conference call will resume momentarily. Once again thank you for your patients and please standby.
Gary Dvorchak: John, George sounds like we are back online.
John Granara: Yes, we are apologize for that. I was talking too much or not, I gave you three years of guidance, but you missed it. So actually getting back to the serious part. So I don't know where I left of Noah, but so let me just recap real quickly. The numbers in our slides relate specifically to Q2. They are consistent with where we saw fiscal year 2016, which is about 60%. We are expecting project revenues to increase in the second half of the year as they typically do. So I believe 60%, 65% is probably the still a good range for this year. It is going to be dependent upon when certain assets come online during the year, but we do expect that we would see an uptick closer to 70% if not may be a little bit over 70% to 75% for next year when you look at all the assets were placed into service this year. And also the two renewable gas plants that we plan to place into service next year. So we are -- we think it's strong, we think it’s a powerful message, we think it lends to the credibility of our visibility when we say we have good visibility. And so that's why we're trying to provide this information in a way that can be a little bit more transparent, but also support our story.
Noah Kaye : Yes, I appreciate that. And if I dig into the return profile of making those types of investment I mean if I just annualize your EBITDA run rate from the past six months, which may be understating and then I add in say $5 million or $6 million or so for interest expense. I kind of pencil out at something like a 10% to 11% cash on cash return. And I'm probably understating it. Is that the type of return profile we should expect on kind of a blended portfolio going forward as you look at the additional investments you're going to bring in? And if so what's your appetite to kind of increase the scope of investment activities within your portfolio.
John Granara: Sure. So when we look at individual investment decision, we've said all along we're looking to get mid to upper teens internal rate of returns. And so if you're looking at the business as a whole which includes developing new assets, overhead expenses and things of that nature. Then yes you're going to be looking at some depression of those numbers and you're probably going to be in the range that you had talked about. We're probably a little bit higher than the 10% to 11%, but that includes all of the expense associated with running that business. If you look at just the assets and assets alone in the direct expenses, I think it actually get higher return. So we're not at the point where we’re going to be sharing those numbers right now, but that is something that we'll look forward to doing as our portfolio continues to grow. And clearly once we're at a certain mess; we think that those are the types of numbers that we will be including in a supplemental information in the future. But I think in terms of looking at expanding our investment, it all comes down to economics. What we’ve said is what we've always looked at the investment opportunities in a very disciplined manner. We're not going to do things that do not meet our hurdle rate. And so we do see opportunities out there, larger opportunities potentially to invest in, but there are others in the market that sometimes will depress the number to the point where we're not going to hit our returns and in that instance we're not going move forward with it. So we're doing it in a very disciplined manner where we need to ensure that we're getting the returns that we expect and want to get.
Noah Kaye : Yes, appreciate that color. And maybe just one more from me, and this is more on the retrofit regions project side. You commented before so kind of the growing scope and complexity of projects seems like energy storage is becoming much more common, you’ve got smart LED street lighting, which is basically platform for smart cities. So there kind of continues to be I think an increase in the sophistication, the complexity of the solution that you are integrating. I guess as we think about this and it's certainly positive for the business. How do you think about maintaining operational experience in the execution there? Do you have to bring on additional operations engineering support people as you deal with these higher levels of complexity? How do we think about unrelated question going to be incremental margins on that sort of added content?
George Sakellaris: Yeah. One of the thing and we've been talking about this a lot many times, but technologies I think especially the emerging ones they play to our strength. Whether it's the microgrids or whether it’s the battery storage and so on. But we have some expertise in-house but as the business grows and the opportunity grows, we have to increase our technical capabilities otherwise additional resources, human resources in that area. And sometimes if there is something that like for example some of the smart cities some of the technologies whether it is the communications we’ll probably bring some partners that technology partners that will complement to what we have. So -- but on the other hand we see all these opportunities the technical innovation you might say drive and expanding the scope of our business. And it's a good thing that’s happening for us.
Noah Kaye : Thanks so much and appreciate you taking my questions. Congrats on a this strong quarter.
George Sakellaris: Thanks, Noah.
Operator: [Operator Instructions] And I'm sure there are no further questions over the phone line at this time. I would like to turn the call back over to George Sakellaris for closing remarks.
George Sakellaris: Thank you, Glenda. To conclude, the results this quarter continue to highlight several attractive elements of Ameresco’s business model. High visibility the trend towards larger more complex projects, better penetration in certain geographic regions, and building our higher margin recurring revenue streams. Specifically operations and maintenance and energy assets, we believe our business model positions us with excellent growth prospects that are profitable and visible. Thank you for your interest and support. I’ll now turn the call back to the operator. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program and you may now disconnect. Everyone have a great day.